Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Zscaler Fourth Quarter 2021 earnings conference call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mr. Bill Choi, Senior Vice President Investor Relations and Strategic Finance. Thank you. Please go ahead, Bill.
Bill Choi: Good afternoon, everyone and welcome to the Zscaler Fiscal Fourth Quarter and Full-year 2021 earnings conference call. On the call with me, today are Jay Chaudhry, Chairman, and CEO and Remo Canessa, CFO. Please note that we have posted our earnings release and a supplemental financial schedule to our Investor Relations website. Unless otherwise noted all numbers we talk about today will be on an adjusted non-GAAP basis. You will find a reconciliation of GAAP to the non-GAAP financial measures in our earnings release.  I'd like to remind you that today's discussion will contain forward-looking statements, including, but not limited to the Company's anticipated future revenue, calculated billings, operating performance, gross margin, operating expenses, operating income, net income, free cash flow, dollar-based net retention rate, future hiring decisions, remaining performance obligations, income taxes, earnings per share, our market share and market opportunity.  These statements and other comments are not guarantees of future performance, but rather are subject to risk and uncertainties, some of which are beyond our control, including but not limited to the duration and impact of COVID-19 on our business. the global economy and the respective businesses of our customers, vendors, and partners, market adoption of our offerings, and our expectations regarding the development of the markets in which we compete. These forward-looking statements apply as of today, and you should not rely on them as representing our views in the future.  We undertake no obligation to update these statements after this call. For a more complete discussion of the risks and uncertainties. Please see our filings with the SEC, as well as in today's earnings release. We will upload a copy of today's prepared remarks to the IR website when we move to the Q&A segment of the call. Now I will turn the call over to Jay.
Jay Chaudhry: Thank you, Bill. We had a very strong quarter to close out spectacularly in Q4. we delivered growth of 57% in revenue and 70% in billings as customers embraced our expanded cloud platform to accelerate. Each told transformation. Let me share a few highlights of fiscal 2021, our full-year revenue grew 56% to $673 million and billings grew 70% to reach $934 billion. We are seeing revenue growth across all verticals, customer segments, and geographies. 51% of revenue was from outside the United States. I'm very excited to see our ARR approaching $1 billion and pleased to note that our new annualized bookings and new logo acquisition accelerated throughout the year.  All product pillars of our platform saws strong demand. Notably, ZPA revenue surpassed $100 million in fiscal 2021, growing 166% year-over-year. To increase cyber security risks and accelerating digital transformation, have increased the need for our Zero Trust architecture. We're uniquely positioned to reduce business and make businesses at trial and more competitive. We are the only cloud provider at scale with a proxy-based architecture to deliver through zero-trust security. Finally, loan and VP and based castle-and-moat security connect users to the corporate network, which facilitates lateral movement of Trex, increasing cyber risks.  Zscaler connects users only to applications, now to the network of the core principle of Zero Trust architecture that reduces then similar tax and other cyber risks. Build from the start to enforce policy at the edge, as advocated by the SASE framework. That this color Cloud spends 150 datacenters with five-nines availability, providing fast and secure access to all applications. whether in you with a data center or in a multi-Cloud environment. Because of these architectural advantages and our proven ability to scale [Indiscernible] Zero Trust Exchange has become the foundation for big sold Transformation. With a record number of seven-figure ACV deals in Q4.  We now have over 200 customers with greater than $1 million in ARR. Over 5,600 enterprises, including 35% of the Fortune 500, Trust Zscaler, to secure their transformation journey. While the entries Net Promoter Score of fast companies is 30, Zscalers is 74, which is 2.5 times higher, proof out the values these killers deliver. Now, I will like to discuss the fee market segment. We have made significant progress during the quarter and the fiscal year. First, the financial service sector has become our top vertical. These companies are embracing the cloud and Office 365. Let me highlight 3 new customer wins in Q4 for the purchase of ZIA and ZPA together.  First-day as, a global bank that's adopting a Zero Trust strategy to protect over 100,000 employees with our high-end. and ZPA bundle. They've purchased every module we offer in the CIS color, including firewall, Sandbox, CASB, DLP, and browser isolation. Fast user experience and enhanced Cybersecurity were the key factors in our win. Our second new logo win is a Fortune 500 asset management Company that purchased ZIA and ZPA to secure over 30, 000 employees.  And third is a Fortune 500 insurance Company that purchased ZIA CPA CPA or 26,000 employees to enable work-from-anywhere. These wins illustrate when companies are ready to embrace the cloud, Zscaler is the only cloud-native multi-tenant platform that meets the need. With security as a major requirement, these financial services customers only considered a proxy architecture that can provide SSL inspection at scale. and rejected firewall based on the detection. We now count eight of the top ten global banks and seven of the top ten insurance companies outside of China as our customers.  Next, let me highlight our progress in the enterprise market segment, which includes organizations with 2,000 to 6000 employees. We started focusing on the segment at the start of fiscal 21, and the results have exceeded our expectations. This segment includes over 12,000 organizations representing $8 billion of our serviceable market for user protection. DU sizes in the segment are growing as customers adopt more of our platform. I'm excited to see our first seven-figure upsell win in our enterprise segment, whether the customer is buying all four pillars off our platform. ZPA and CDx for 6 thousand users. And CCP Workload Segmentation for almost 3,000 servers. Our ARR with this customer now exceeds $1.5 million, validating a significant opportunity in this market segment.  To further penetrate the segment, we are developing targeted marketing programs, significantly growing our sales team, and doubling down on our Summit Partner program to recruit and enable channel partners to drive further sales leverage. Finally, we continue to invest to capture a large federal opportunity, with a sizable Fed sales team and the highest FedRAMP certifications, we count well over 100 government agencies, and federal integrators as customers. In Q4 alone, we added over 20 new federal customers, including 4 with over $1 million in annual contract value.  Each purchasing ZIA and ZPA together. Driven by the President's recent Executive order, we're seeing increased interest in our Zero Trust Exchange across all levels of the government. We are among a select group of companies chosen by NIST, our national standards body, run a pilot program in support of the executive order. We are excited about this opportunity to help our country dramatically improve our security posture while significantly reducing legacy IT costs. Next, let me highlight our technology innovations and emerging products which are expanding our opportunities.  We started with a highly scalable, multi - [Indiscernible], globally distributed cloud capable of providing in-line inspectional Internet and SaaS traffic with ZI, and securing access to private applications with ZP. Over the past few, we extended our platform to protect cloud workflows and to manage the digital user experience. We're very excited about the early traction of our emerging products, the next growth engines for us. Our emerging products contributed a high single-digit percentage of new and upsell business in fiscal '21, which is well ahead of our expectations.  CDx is the fastest-growing solution in our history. And a natural complement to ZIA and ZPA. With a single lightweight endpoint agent. It is frictionless to turn on ZDX to provide end-to-end visibility to help resolve performance issues for every Zscaler user. In Q4, one of our largest ZDX deals came from a Fortune 500 tech Company. The purchase of the entire ZIA portfolio, as well as ZPA and ZDX, all 60,000 employees to support work-from-anywhere while embracing Zero Trust architecture. We were pleasantly surprised to see so many large enterprises adopt ZDX so rapidly. Under notable CDx explains include a Fortune 500 RevPAR Company for 70 thousand users, a Fortune 50 energy Company for 55 thousand users, a Fortune 500 European bank for 39,000 users and industrial and manufacturing Company for 28,000 users, and a healthcare Company for 25,000 users.  I believe that every ZIA and ZPA customer will embrace ZDX as user experience is one of the highest priorities of our CIO. We're receiving very positive feedback from customers. Our fortunate 600 healthcare executive indicated ZDX contributor to an 18.0 gain in employee net Promoter score for the IT service task, in two Quarters. And after having disrupted premier best security with our Zero Trust Exchange for users, our next big opportunity is to bring Zero Trust to workloads with Zscaler Cloud Protection or ZCP. Every organization is building its applications in the Cloud. And we'll look to implement Zero Trust security to protect workloads.  Our Zero Trust exchange securely connects workloads to workloads and processes to process, using business policies, eliminating the need for traditional networks and associated cyber risks. Solutions within our ZCP killer include Cloud partial, which includes Zv, and CIEM, ensure proper configuration and enforces lease privileged access for multi-cloud environments. What cloud communication-powered by ZIA and CPA technology, secures app-to-app and cloud-to-cloud communication. And Workload Segmentation achieves Micro-Segmentation without Legacy Network Segmentation.  We have over 300 ZCP customers and are seeing increasingly strong interest from new and existing customers. Let me highlight a few ZCP wins during Q4. An existing ZIA and ZPA customer in the consumer goods sector with over 100,000 employees, purchase, Workload communication for 25,000 workloads. And Workload Segmentation for 10,000 workloads. This customer has a large software environment on a traditional network. Implementing our Zero Trust for workloads, to reduce their cyber risks by minimizing lateral movement while securing the app migration to the cloud.  We're also lending new logos within ZCP. For example, we landed a Fortune 500 professional services Company where ZCP was the main driver. This customer purchased Workload Communications for 6,000 workloads, Workload Segmentation or 500 workloads, as well as the entire ZIA bundle for 40,000 employees. [Indiscernible] collaborated with CrowdStrike, our technology partner, and a global SI, our channel partner for this deal. Let me conclude some thoughts on our vision and strategy. We envision a world in which the exchange of information is always secure and seamless.  In today's [Indiscernible] connected digital world, our Zero Trust Exchange secures any to any connectivity for users, applications, workloads, and IOT and OT systems, regardless of their location. And our Analyst Day in January, we laid out our [Indiscernible] the goal of solving 200 million users and 100 million workloads. In order to achieve this goal, we are focused on attracting and developing talent, and creating a culture of excellence. We hired over 1,100 employees over the past year and enabled them to be productive and successful all during the pandemic. We're investing in our people through learning initiatives and building a culture where a global and task workforce can deliver excellence powering our customer success. Our employees are engaged and completely aligned with our mission.  On our last employee survey, 96% of employees understand and believe in the strategic direction of the Company. I'm proud that we are recognized as a great place to work in the 2021 Glassdoor ratings. We are focused on driving broad adoption, in All 4 pillars of our platform, the breadth and depth of our platform is resonating with customers, and are purchasing our higher-end bundles to consolidate the security and networking point products. I believe Zscaler is the go-to platform for vendor consolidation, cost savings, increased user productivity, and better cyber protection.  As we demonstrated over the last 12 months, we've built a sophisticated go-to-market machine that delivers business value and measurable outcomes at the [Indiscernible] low level. I'm extremely proud of our go-to-market team and how we executed our sales strategy this year. Even with significant growth in our sales force, sales productivity has increased over the prior year, exceeding our expectations. Our Summit Partner Channel program consists of hundreds of clones focus on each other, system integrators, and service providers that are contributing to our deal win and increasing sales leverage. As our market share, reputation, and brand awareness continues to strengthen.  A growing number of Cloud and SaaS providers on integrating with our platform, further strengthening our strategic position with our joint customers. Our expanding ecosystem is contributing to our sales philosophy and broadening our reach. I believe we are on the right track to capture a material share of our $72 billion serviceable markets. We also see additional opportunities to bring Zero Trust to IoT and OT systems. Modal 5G pushes computing further to the edge. opens up additional opportunities for Zscaler. To facilities markets. We have a two-pronged innovation strategy. 1.  Investing aggressively in internal R&D and scaling our world-class engineering organization, which continues to rapidly deliver new products and features. We recently opened a new [Indiscernible] Hub in Israel. And are expanding our [Indiscernible] centers across the U.S., India, Canada, and Spain. to making highly targeted acquisitions to enhance our platform and the same time to market. During fiscal '21, we completed two acquisitions. Trustdome strengthens on the ZCP pillar and positions us better to pursue our shift left strategy.  And Smokescreen enhances our active defense capabilities with honeypot technology. Through internal innovation and highly targeted acquisitions, we will further expand our leadership in the SASE and Zero Trust security markets. In summary, with all these drivers and innovations ahead of [Indiscernible], you can see why we are very excited about our future. Now, I would like to turn over the call to Remo for our financial results.
Remo Canessa: Thank you, Jay. As Jay mentioned, we are pleased with the results for the fourth quarter and full-year 2021. Revenue for the quarter was $197 million up 12% sequentially, and 57% year-over-year. VTA product revenue was 17% of total revenue. From a geographic perspective, we had broad strength across our three major regions. Americas represented 51% of revenue. EMEA was 38% and APJ was 1%. For the full year, revenue was $673 million, up 56% year-over-year. This was an acceleration from the 42% growth we delivered in fiscal 2020. Our total calculated billings grew 70% year-over-year to $332 million with billing duration in the middle of our 10 to 14 months range. We're also pleased that year-over-year growth in short-term billings accelerated to 71% in the fourth quarter, from 61% in the previous quarter.  Our strong billings performance was driven by a record number of new seven-figure annualized contract value deals in the quarter and we sold more of our platform offering. We saw strong growth in our top 5 verticals. Finance, Manufacturing, Services, Healthcare, and Technology. The remaining Performance Obligations or RPO, were 1.553 billion as of July 31, up 98% from one year ago. The current RPO is 49% of the total RPO. Looking at our pillars, ZPA was 27% of our totally new and upsell business in fiscal 2021. Abridging products which include ZDX and ZCP, are tracking ahead of our expectations and contributed high-single digits of our totally new and upsell.  We are seeing strong customer interest and we expect emerging products to contribute a low-teens percentage of our totally new and upsell business in fiscal 2022. The adoption of our emerging products is pacing ahead of ZPA in its early years. In a large opportunity, with all our pillars, and we will continue to expand our portfolio to strengthen our leadership position in the Zero Trust security market. Our strong customer retention, and the ability to upsell the broader platform have resulted in a consistently high dollar-based net retention rate, which was a 128% compared to a 126% last quarter and 120% a year ago.  As we have highlighted, this metric will vary quarter-to-quarter, while good for our business, our increased success selling bigger bundles, selling multiple pillars from the start, and faster up-sells within a year can reduce our dollar-based net retention rate in the future. Considering these factors, we feel that 128% is outstanding. We have a strong base of large enterprise customers, which provides us with a significant opportunity to upsell our broader platform. We had 202 customers with AIR greater than a million dollars up 87% from 108 in the prior year. We also had 1480 customers with an AIR greater than $100,000 which compares with 973 customers last year. Our new customer had accelerated in fiscal '21.  We organically added approximately 1,000 new logos in fiscal '21, excluding acquisitions. And we ended the year with over 5,600 customers expanding our field engagement with smaller enterprises with 2,000 to 6,000 employees, and the increased investments in our partner program are contributing to higher new customer growth. Turning to the rest of our Q4 financial performance, the total gross margin of 80% declined by 1 percentage point Quarter-Over-Quarter and improved by one percentage point year-over-year.  Our total operating expenses increased 15% sequentially and 60% year-over-year to $138 million operating expenses as a percentage of revenue increased by 1 percentage point from 69% a year ago to 70% in the quarter, primarily due to increased hiring and higher compensation expenses, as well as $2 million in expenses related to [Indiscernible], and smokescreen operations. The operating margin was 10% and the free cash flow margin was 14%. We ended the quarter with over $1.5 billion in cash, cash equivalents, and short-term investments. Now moving on to guidance. As a reminder, these numbers are all non-GAAP, which excludes stock-based compensation expenses and related payroll taxes, amortization of debt discount, and amortization of intangible assets.  For the first quarter of fiscal 2022, we expect revenue in the range of $210 million to $212 million reflecting year-over-year growth of 47% to 49%, gross margins of 79%. I would like to remind inventors, but a number of our emerging products, including ZDX, Workload Segmentation, and CSPM will initially have a lower gross margin in our core products because we're more focused on time-to-market and growth than optimizing them for gross margin. Operating profit in the range of $18 to $19 million, other income of $400 thousand, net of interest payments on senior convertible notes, income taxes of $1.2 million. Earnings per share of approximately $0.12, assuming 148 million fully diluted shares.  For the full-year fiscal 2022, we expect revenue in the range of $940 million to $950 million or year-over-year growth of 40% to 41%. Calculated billings in the range of $1.23 billion to $1.25 billion for year-over-year growth of 3% to 34%. We expect our first-half mix to be approximately 42% of our full-year billings, which is in line with the average of the last 3 to 4 years. Operating profit in the range of $85 million to $90 million earnings per share in the range of $0.52 to $0.56, assuming approximately 149 to 150 million fully diluted shares. Please note that our share count guidance now includes dilution from our convertible debentures.  We have a capped call with a strike price of $246.76, every $10 increase in our stock price above the strike price will add 250 thousand to 300 thousand shares to our fully diluted share count. For your modeling purposes, I would like to discuss the anticipated [Indiscernible] and [Indiscernible] impact on fiscal 2022 operating expenses. In fiscal 2021, we saw a 280-basis point benefit to margins from lower teeny compared to fiscal 2020, with plans for in-person meetings. And events in the second half of this year, including sales conferences in Q3, [Indiscernible] in Q4, we expect teeny as a percentage of revenue to be approximately 250 to 300 basis points higher in fiscal 2022 as compared to fiscal 2021. As mentioned previously, the recent acquisitions of Trustdome & Smokescreen are expected to have an immaterial impact on revenue in fiscal 2022.  We expect to incur approximately $13 million to $15 million in operating expenses to further invest in these products and incorporate their technologies into our platforms. This was incorporated into our guidance. Let me conclude with comments on our investment framework. We will balance growth and profitability based on how our businesses growing. At our Analyst Day with consensus estimates at that time, reflecting approximately 30% revenue CAGAR. We outline our target.  Good, I'm achieving 20 to 22% operating margins in fiscal 2024, which implied 300 basis points of margin expansion per year. Since then, we have delivered outstanding results with revenue growth exceeding our expectations. If we continue to have high growth and strong unit economics, we'll prioritize investing in the business, which would lead to lower than 300 basis points of margin expansion per year.  To that point, our fiscal 2022 guidance of 40 to 41% revenue growth and 9 to 9.5% operating margins reflects approximately 150 to 200 basis points of margin expansion after adjusting for the increased T&E and M&A expenses. We remain confident of reaching 20 to 22% operating margins in the long term. But growth will continue to take priority considering our strong business momentum. With a huge market opportunity and customers increasingly adopting the broader platform, we're committed to investing aggressively in our Company. Operator, you may now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Henderson with Needham. You may proceed with your question.
Alex Henderson: Great. Thank you very much. As we're looking out into the New Year, I was hoping you could talk a little bit about your thoughts on the type of expansion you're planning relative to the sales capacity.  You've been extremely aggressive over the last year and infect, as I understand it, increased your targets three times over the course of the year. Certainly, the environment is extremely robust. Can you talk about where you're going as we go into the new fiscal year? Thanks.
Remo Canessa: I'll start with that, Alex, then Jay can come in. If you're right, though the thing that we called out in the call is that we're seeing strong momentum for our business and particularly in the second half and you're absolutely correct.  We did increase our field quota sales reps by. Number in fiscal '21 versus fiscal '20. As we go forward, we will be making continued investments in our sales organization, as well as marketing and also channel. But that's only a piece of it. And again, we will be increasing the number of headcounts for [Indiscernible] fuel quota sales reps in fiscal '22 versus fiscal '21.  But more broadly speaking, the opportunity is so big, we're going to continue to invest throughout the Company to really position ourselves to move forward and really be a substantial Company that's operating efficiently. That's across all areas.  RD, GNA, and an in our cloud. I started with Z-scalar. We're doing about 35 billion transactions a day were upwards. I don't know what the number is now, but I know it’s well north of 160 billion transactions per day. It is critical if you're a Cloud Company like Zscaler, to provide a reliable service that customers can rely on to ensure they are operating efficiently and securely.  So, our focus is going forward. This can be brought throughout the Company, but with continuing to invest in sales and marketing and will increase part field rep sales headcount more in fiscal 22 versus fiscal '21.
Jay Chaudhry: Very well said. I don't think I need to add a whole lot more. We are hitting on all cylinders, I'm very excited.
Alex Henderson: Thanks.
Operator: Thank you. Our next question comes from Matt Hedberg with RBC. You may proceed with your question.
Matt Swanson: Yeah. Thank you for taking my question. This is Matt Swanson on for Matt. If I could just dive in a little bit more to those guttural operators. Great color today on the call Jay. But when we're thinking about that Zero Trust directive.  You have really unique visibility both into the federal space with 100 customers and then obviously on the Zero Trust leader, what do you think the gap is right now in the current federal environment to achieving a Zero Trust framework and then I thought you can give us some kind of magnitude and the duration of the opportunity, suppose 3 months from now that mandate became mandatory for all federal environment skipped [Indiscernible] Zero Trust. How big is that GAAP?
Jay Chaudhry: If you think of where federal market. It's largely today doing network security. It's largely castle-and-moat depending on firewalls, VPNs, and the like. The good thing is that the Biden administration has recognized that Zero Trust. Architecture has to be done since great.  To see that IO is focused on implementing zero-cost. And look where we stand is, we started investing in the federal market about 3.5 years ago and got all the certifications that are needed and we also have the right architecture and we've built the sizable team. We already have pretty good business, but we're barely scratching the sub-business, the federal market, I think a lot of things have to do with education.  Good thing is that [Indiscernible] and some of the new meetings that Biden administration is having big high-profile CEOs [Indiscernible] is there anything visibility in the space, we aren't participating in some of these new pilots. All in all, we're excited, but we also know that some of these federal deals take their own time.
Matt Swanson: Thank you.
Operator: Thank you. Our next question comes from Keith Bachman with the Bank of Montreal. You may proceed with your question.
Keith Bachman: Yes. Thanks very much. I wanted to ask a little bit about the net retention rate was very strong this quarter. But you seem to be signaling that there may be some tension on the number, so I was wondering if you could comment on how investors should be thinking about the net retention rate as we lookout.  In particular, I did want to reference some of the information you provided at the Analyst Day where you talked about. Significant expansion on the annual price per user, both in the user Protection category and the workload protection category, as well as just seat growth.  So, I am just -- I'm a little bit surprised to hear you almost down -- I guess, downplay that 128 number, but if you could just talk a little bit about how investors should think about that over the next fiscal year. Thank you.
Jay Chaudhry: I'll start then Remo can add on. I think our comments on net retention rates have been consistent since we went public and here's the real thing, if I were a one-product Company, then it matters, new logo upsells, all those things. We are such a big platform that's growing rapidly.  We launched an internal debase, should we really pay sales are up more for new logo versus upsell. The answer is we really want to grow the overall new ACV, whether it's coming from upsell or coming from the new logo. So, the message is not to really say downplay, net retention rate. The message is the net retention rate by itself is not a good indicator. What we're doing is good.  We are proud of 128, I'll be proud of 125 too because if I can sell a bigger platform upfront, I'm okay with a lower NRO. That's the message. We are happy that bullish but this metrics by itself is not the best thing as a leading indicator. Follow along with that.
Remo Canessa: Jay is absolutely 100% correct this because we talked about it on prior calls, the only time we understand the importance of net retention rate is because of basically our compensation structure which we pay the same for new and upsell. We really don't look at it until we have projections of what we're going to do during the quarter. We really look at it at the end of the Quarter.  Now, having said that, that you take a look at what we're -- what we talked about at the Analyst Day and you're absolutely right Keith, with the opportunity to sell at a higher price point than we've talked about for the users for 5 000 users, we expect to have basically a price point about a $145 per user.  We are seeing that. And so, we are seeing basically companies that are buying ZIA add-on, ZPA, and ZDX, we're seeing those types of dollar amounts. So, the other point which we haven't talked about, the average revenue per user is increasing substantially. And so, what we're seeing, is that we are seeing customers buy our broader platform. We're seeing customers who are actually buying ZCP and not buying the user protection initially. So, all indications are that things are going well. The net retention rate, the positive impacts are the new products. If you take a look at the number of Global 2,000 companies that have both ZIA and ZPA it's 44%.  So, I wouldn't take our comments related to the net retention rate that it's going to go down. We don't -- we really just don't focus on it and we're just trying to really condition our investors to really think about the broader platform we have both new and upsell and basically our top-line growth.
Keith Bachman: Perfect, many thanks.
Remo Canessa: No problem.
Operator: Thank you, your next question comes from Mike Walkley with Canaccord Genuity. You may proceed with your question.
Mike Walkley: Great, thank you. Congratulations on the strong quarter in a year. Maybe just building on that last answer a little bit. You've highlighted the enterprise segment targeting 2,000 to 6,000 employees as your fastest-growing segment.  Did these smaller customers with the faster sales cycle, do they have a similar land as your larger customers and have a long runway for upselling or are they landing with a large amount of your platform?
Jay Chaudhry: Overall cost about today, whether as new enterprise segment of larger, one more and more, they're buying bigger and bigger platforms. It is true that enterprises are probably too good [Indiscernible] 6-K tends to go a little bit bigger from the start.  But it's a shorter sales cycle. And these guys have the same risk of [Indiscernible] similar tax and I'd like to understand. So, we're actually surprised to see how much traction we are getting in the segment in the past few quarters since we focused on it.
Remo Canessa: The focus also in an enterprise is through our Summit program we put in place a year ago. So, we are seeing strong traction through our Summit program. And the Summit program is geared towards those customers in the next 2,000 to 6,000 range.  So very positive feedback, very positive. As a result, as they mentioned over this past year, and we're excited that this is an opportunity, as they mentioned, our fastest-growing segment. And we're excited about that opportunity.
Mike Walkley: Great. Thank you.
Operator: Thank you. Our next question comes from [Indiscernible] you may proceed with your question.
Jonathan: Congratulations on the strong stronger. Jay, this is probably more for you, but when you look at the publicly traded firewall vendors, they're clearly experiencing very strong demand trends for -- for their virtual firewalls, for Cloud, Cloud applications, and cloud environments.  And I'm just wondering, how do you reconcile that with your comments around the benefits of a proxy, I mean, doesn't it seem to suggest that there could be different approaches, different architectures to securing Cloud.
Jay Chaudhry: I think about this quite a bit. If you would have called 34 years ago, we were asked this question quite a bit and this was being asked. Why are these proxy vendors like Bluecore still posting good numbers? I was telling them that we have barely made an impact.  A lot of traffic was so going through those proxy appliances in the data center, as you look at the local breakout business that's not their primary vendor itself. Others yes, have come out there. But the majority of the enterprise traffic still goes through a hub-and-spoke network, it's still going through a data center, it still goes through those firewalls.  If your traffic year-over-year goes up by 33%, you’ll end up getting more data center devices, whether it's firewalls or other stuff. I think then you get to a certain level whereas traffic shifts significantly, the spend will shift. That's my personal view. So not surprised that why its legacy devices like firewalls are still growing. I think it's a matter of time.
Jonathan: Right. That's helpful, Jay. Thank you.
Operator: Your next question comes from Gray Powell with BTIG, may proceed with your question.
Gray Powell: Okay. Great. Thanks for taking the questions and congratulations on the strong results. So yes, I just I'm curious. Like, how are you thinking about the potential to increase the pricing on renewals, particularly now that cloud-based that were Securities more mainstream and the sales process is less evangelical olden say three or 4 years ago?
Jay Chaudhry: I want to be looking at increasing the renewal price? Is that what the questions are?
Gray Powell: Yes. Exactly.
Jay Chaudhry: Right. Our biggest increase in price is coming from selling bigger bundles. And there is some increase in price on each module, but that pace at which we're expanding our portfolio is quite significant and as customers see the value, and because we show business value, the increase in price per customer from ACV point-of-view becomes a natural thing.  Again, if you if we were to compete on price, if it competes on say, I'm a better firewall than those firewalls, then it gets hard. We don't really compete to replace our given firewall or proxy. We are the enabler of secured digital transformation.  A sale is often driven by the CIO to head of infrastructure to head of security. When they look at the amount of money, we can save them to replace all these legacy firewalls, security, and networking devices. The ROI is very impressive to justify, our price becomes a lot easier. So, value-based business, value-based pricing is what we have advocated.
Gray Powell: Yes, I think so, maybe I could have asked the question better, I guess my understanding was four or five years ago, you had to be more aggressive just because I mean, Fastly wasn't even an EBITDA turn back then, than people were less comfortable having security in the cloud today it's more mainstream. So, I thought I'd give you. More ability to increase prices. That was my question.
Jay Chaudhry: Yeah. I would think, yes, we have done some price increases on the original products, but a big increase has come from adding allotment modules. If you look at the time of IPO 3 1/2 years ago, it was largely secured Web Gateway with a few things.  It was largely a business bundle sale or professional bundle. Today, what we're selling is very different than what we sold 3 years ago, very different than what we sold one year ago. The [Indiscernible] the market that gotten [Indiscernible] is a very expensive market, it includes everything you need to have at what used to be the network security level.  I'm [Indiscernible] in these kinds of private access. It's not just a VPN replacement. It eliminates the need for a higher inbound DMZ. That's a big thing. So, as we expand our platform, it further differentiates us. It further consolidates its point products. We love the fact that the market is moving so fast, so rapidly, and we are innovating soft fast. That's why we think it will be very hard for some of the mid-2s to come from behind and catch up with us.
Gray Powell: Understood. Okay. That's very helpful. Thank you.
Operator: Thank you. Our next question comes from Hamza Fodderwala with Morgan Stanley. You may proceed with your question.
Hamza Fodderwala: Hey, guys, thanks for taking my question. Jay, perhaps the question for you. So last year, Zscaler saw a huge uptick in demand with the Zscaler private access solution. To what extent are those customers who may have bought perhaps smaller licenses or perhaps temporary licenses last year, are coming back now as they renew and signing larger perhaps [Indiscernible] as you guys’ progress to the next few quarters?
Jay Chaudhry: So last year, when customers needed to buy ZPA, and I should with inventory during our earnings sales that very few, if any, temporary licenses. Okay. The one-year deals. Most spec deals were done with us on a month's databases.  And when they've on ZPA during the pandemic, most of the time, it was not for a subset of users. It was nearly done for most of the users. So, from our point of view, that sale that got made last year was really made for the long term. Is that impacting us in the short term?  Not really, but having said that on reselling more and more ZPA to every ZIA customer, absolutely. No other market thinks that ZIA and ZPA together should be bought because once you have both of them together, you can access any application from [Indiscernible] In fact, Gartner has further clarified SaaS positioning.  It's kind of interesting, SASE was a good loose framework, but it was confusing to some degree because it kind of got interpreted as it's the network and SD ban and security must be with a single vendor. Not true.  In fact, Gartner has a new position paper that came out about a month or two, which basically said the security part of SSE, a Secure Service Edge, and SSE. And there's a new end-to that will come out Magic Quadrant they'll come out in X months. And the second part that decoupled the Network part of it, they're calling it wireless than the edge.  And that's where the SD-WAN park 60. We have the most comprehensive offering of what Gartner is calling now, secured service hedge, that's really what gives us differentiation that allows us to compete and win and charge good prices and really make sure ZIA [Indiscernible] gets sold to every user, not just a subset of users.
Hamza Fodderwala: Thank you.
Jay Chaudhry: Thank you.
Operator: Our next question comes from Shaul Eyal with [Indiscernible]. Please proceed with your question.
Shaul Eyal: Thank you. Hi. Good afternoon and congrats on results and guidance. Jay, want to go back to the difficult competitive landscape question. I know when we've been discussing that as of late, but just wanted to check out if there is anything new or anyone new that has come to mind as of late, some of these have been seeing in a more pronounced way, operating within your markets. Thank you for that.
Jay Chaudhry: All-in-all., if you ask me, has the landscape changed significantly in terms of players out there? Not really. The biggest change in the landscape, it’s in the Workload posture market in the Cloud Protection [Indiscernible].  When it comes to SaaS, ZIA ZCP competition, there's not a whole lot. Now there is a fair amount of noise that's coming out there. Because when Legacy network security vendors are getting disrupted, they must do something to make noise so they really don't become extinct, that's why we do it here good every saw fundamental Customer SaaS. Although I am doing my firewall VPN in the Cloud, that is Zero Trust right. Now, Zero Trust and firewall or VP in the Cloud doesn’t go together. So, if you ask me one of the main things, we need to make sure is be clear that you can go to Zero Trust Architecture with firewalls and VPNs. The good thing is smart folks like NIST and Gartner on helping that area.  But our momentum is building, businesses are doing good and we want to keep on investing aggressively as Remo said, to take a big share of this increasing, evolving sizable market. The last one I want to make is, the number of modules we saw sell today on average, versus a year ago, versus 3 years ago has increased significantly, which is very good. It's no longer the status quo [Indiscernible] firewall or secured [Indiscernible] re-market. Did I make sense?
Shaul Eyal: Got it.
Jay Chaudhry: Thank you.
Shaul Eyal: Absolutely. Thank you for that.
Operator: Thank you. Our next question comes from [Indiscernible] with JPMorgan. You may proceed with your question.
Unidentified Analyst: Yes. Thanks. Hi, guys. Hey, Remo, I want to ask a nitpicky question. Obviously, the results are fantastic, well above guidance and expectation. But given that the current RPO has accelerated for three straight quarters, short-term deferred revenue accelerated. Billings calculated remained at 70%. Why would revenue actually tick down a couple of percent? Why wouldn't it tick up?
Remo Canessa: Hurley, you know me pretty well. I think for 20 years, our philosophy related to guidance is to be prudent. And we're continuing to be prudent with our guidance. Everything you called out is 100% correct. But what I tried to do that SeaScape since I've come here is basically, I don't want to look back. I want to look forward. I want to give ourselves the ability to really run the business.
Unidentified Analyst: I was asking --
Remo Canessa: -- So, your guidance.
Unidentified Analyst: I was asking about the Current Quarter. The Quarter you just reported the 56 and change versus --
Remo Canessa: I get it, I get it --
Unidentified Analyst: I know.
Remo Canessa: Got it.
Unidentified Analyst: I got ramps
Remo Canessa: Okay, I got it, I'm sorry.
Unidentified Analyst:  [Indiscernible] [Indiscernible] I think that may have impacted [Indiscernible].
Remo Canessa: No, I've got it. Thank you. So, it's really linearity-based. And if you take a look at it, in Q4 of 20 last year, related to the COVID impact that we had. We had strong billings growth is basically the first part of the quarter. Since Q4 21 went to more normalized.  So that is what primarily impacted the revenue of growing. 57% in Q4. Now, when you take a look at Q3, 20 versus Q3 21, just the opposite effect occurred with COVID in Q3 of 20, what happened was that the world basically, I don't want to say stop, but really slowed down in March time frame, even early April.  So, the linearity in Q3 last year was lower. For Q3 of 21, this year could be linearity was more normalized. So, we had 60% revenue growth in Q3 21 versus Q3 20. And we had 57% revenue growth in Q4. For 21 versus Q4, 20 are directly related to the impact of COVID-19. In addition, in addition, Sterling, there's one other element which is basically when you take a look at the large number of deals that we have, but we called out a million-dollar type deals. A lot of those deals have ramps. So, with those ramps, you're not going to get the full revenue in that current quarter. That's a smaller part of it. But that is a part of it. But the majority of it is related to linearity.
Unidentified Analyst: Remo, thank you. Appreciate it.
Remo Canessa: No problem.
Operator: Thank you. Our next question comes from Brian Essex with Goldman Sachs. You may proceed with your question.
Brian Essex: Yes, good afternoon and thank you for my -- for taking my question. Jay, I'd love it if you Cloud characterize the nature of enterprise adoption on your platform, primarily from the perspective of enabling meaningful change in digital transformation and a shift in architecture versus maybe, more evolving with a large enterprise and enabling them to get started down that journey.  Is there any difference this year versus last year? And maybe if you could characterize the Environment of basically enabling a big architectural shift as opposed to enabling, I guess a slower migration towards your technology platform.
Jay Chaudhry: Brian great question. The biggest shift got caused by COVID. Before COVID, enterprises used to think about, I don't think Zscaler with network transformation branches being broken into the local breaker and the like, with COVID, since network got an outer loop, the enterprise said, I'm going to download this [Indiscernible] agent.  And I'm ready to go with ZIA to external applications, ZPA to internal applications. That mindset is still there. I love it because when you don't have to deal with the net for your sales and deployments go much faster. So, our Phase one.  These days are getting everyone turn ON from wherever they are. Phase two ends up being, let's do local breakout for network transformation. And then Phase III ends up being, let's look at the Cloud workload protection and the like. So, it is evolving and it's evolving, but things are moving at a faster phase. faster pace
Brian Essex: Got it. That's helpful context. Thank you very much.
Jay Chaudhry: Thank you.
Operator: Thank you. Our next question comes from Erik Suppiger with GMP Securities. You may proceed with your question.
Erik Suppiger: Yeah. Thanks for taking the question and congrats on a very strong quarter. Say, Remo, I think you had mentioned that pricing is around $145 for an organization of 5,000 users. Can you remind us where that was? About a year ago?  And then also, you talked about some accounts that have been buying the full breadth of modules for VIA, what kind of discount do you give to that customer when they buy the full breadth of modules?
Remo Canessa: We’re not -- first of all, I don't want to get into how math much is for discounting customers because that's more competitive. The when, when you take a look at those 5,000 users, the $145 that's how much that we're seeing customers 5,000 users paying for the full complement of our offerings.  Now, with that, ZDX is new okay. ZIA which is $25 of that $145, largely the ZIA add-ons are new, related to browser isolation, DLP, and CASB out-of-band, and that's around $30. If a customer buys the full Transformation level, which is, we have three bundles, probe business transformation, it's about $45 and ZPA is about $45 also.  Whereas a gone from a price per user basis overall, year-over-year, we're seeing between 35% and 40% increased price per user on a year-over-year basis. So that's kind of put in the context of what we're seeing and again, that increase in price per user, it’s related to customers buying more of our platform and also expanding their business with these scaling.
Erik Suppiger: And do you think that 35% to 40% is that sustainable going into next year given the accelerating expansion of the portfolio?
Remo Canessa: I don't want to comment related to the expansion. I don't want to make those types of Forward-looking statements. But if you step back and take a look at the importance of the platform that we're selling and also more customers buying more of our platform. In addition to that with the new products we talked about, our emerging products represent high single-digits of our new and upsell business.  As we go forward, we're seeing the emerging products represent low team basically of our new and upsell business in fiscal '22. As the market evolves and like the comments [Indiscernible] made, we're not in the same place we were 4 years ago, or 3 years ago, or even 2 years ago. And so, my expectation is that we'll continue to see increased pricing, but I don't want to quantify it. And we'll just report on it as we go forward.
Erik Suppiger: That's great. Thank you.
Remo Canessa: Thank you.
Operator: Thank you. Our last question comes from Rob Owens with Piper Sandler. You may proceed with your question.
Justin Kessler: Hey guys, this is Justin on for Rob. I just want to double-click on the commentary around the federal business. I know you guys usually put it around mid-single-digits of new ACV in prior quarters, any sense at this was higher in the current Quarter and then maybe some assumptions for the federal business in the pipeline and the guidance for next year. Thanks.
Remo Canessa: I'll start it Jay, so federal in the Current Quarter was mid to higher single digits in Q4. As Jay talked about, the Federal business for us with the executive order from President Biden, as well as federal embracing and Zero Trust, and also our investment with our certification in our field organization that we have in federal.  We feel very good about it. Now, how's it going to play through in fiscal '22? We'll say we feel there's a very big opportunity and we also feel that could be a substantial portion of our business. But it takes time with federal, but we're well well-positioned. And with that, I'll turn it back to Jay.
Jay Chaudhry: Yeah. I think the pipeline is good, we have all the certifications, right architecture that the federal government recognizes. But acquiring Zero Trust Architecture, we are investing and pretty positive and confident.
Justin Kessler: Got it. Thanks, guys.
Operator: Thank you.
Jay Chaudhry: With that, I will like to thank you for joining us today and for your interest in Zscaler. We look forward to talking to you next quarter. Thank you.
Remo Canessa: Thank you. Goodbye.
Operator: Thank you. This concludes today's conference call. Thank you for participating, you may now disconnect.